Peter Arne Ruzicka: [Call Starts Abruptly] this Q1 presentation. First of all, welcome to the new office building of Orkla. We moved in here just a few weeks ago, actually 11th of March. And in this house, we have the headquarter of Orkla. We have the management teams of all the Norwegian business units, and we have the management team of all the business areas. So this is really a good house, a good way to cooperate and work much more as One Orkla going forward. In this first part of this presentation, I will go through the highlights of the quarter, and Jens will take you through the details – the financial details in the quarter. This is my – actually my last day as CEO in Orkla. So this afternoon, I am checking out, and I'm very happy to present a quarter with very good results, both top line and bottom line. But we will, of course, come back to that. We've seen in this quarter a good start to 2019 in the Branded Consumer Goods area with both organic growth and strong EBIT improvement. We have embarked on a new strategy period where we have communicated when we had the Capital Markets Day in London last year that we will give priority to margin improvement in the short term rather than top line growth. I'm therefore glad to see that we have succeeded in improving our underlying EBIT by 9% in the Branded Consumer Goods area despite a moderate top Line growth. Organic top line ended at plus 0.9%. That was driven by good progress in Foods and Confectionery & Snacks. However, Care had a disappointing organic sales decline in the quarter. But Care kept earnings stable from last year. Also, Food Ingredients had progressed, both in sales and especially in profit, helped by an early and good start to the ice cream season this year. Jotun increased its operating profit by 44%, driven by solid sales growth, improved gross margins and very good cost control. So in sum, this resulted in a 21% improvement in adjusted earnings per share from continuing operation, and adjusted earnings per share came in at NOK 0.85 for the quarter. But let's look more in detail into the growth performance of the different businesses. We grew top line in all business areas, except for Care. Foods had good growth in most markets, except for Denmark. In Denmark, we have exited – deliberately exited some unprofitable categories that are hitting the top line. As expected, Confectionery & Snacks was helped by positive effects from customers restocking in Norway after the reversal of the sugar tax increase from 1st of January. So that was as we expected. As mentioned, Orkla Care experienced a disappointing decline in sales. This decrease is partly a result of category decline in gross retail in Norway, where we saw – where we have our largest exposure, combined with channel leakage to other channels with stronger growth. But through several organic initiatives and through M&A, we are continuously making efforts to increase our exposure in channels with higher growth. I will talk a little bit more about that later also. But these changes take time, and we see that the effect of leakage from traditional grocery retail to other channels is especially valid for the Care – or some of the Care categories. As mentioned, we have seen a good start and an early start of the ice cream season – or ice cream ingredient season that helped growing sales and profitability in Food Ingredients. So in sum, we grew top line organically by 0.9%. But during this quarter, we have also been quite active on the M&A scene, and I'd like to show you some of the examples, what we have done in the quarter according to the strategy – our M&A strategy that we have communicated earlier. Our M&A strategy is based on three main routes. One is, of course, the category route. We will continue to build on our four business areas. We are looking for acquisitions that follows the megatrends we see, such as convenience, taste and indulgence, health and well-being and, of course, sustainability. And on-trend health drink Captain Kombucha is based on fermented tea. It contains no preservatives, no artificial sweeteners or artificial flavors. And it's organic, it's vegan and it's gluten-free. Lecora is another company we bought. It's a Swedish manufacturer of frozen and chilled vegan and vegetarian dishes for the out-of-home sector. And a substantial portion of its products range is, of course, organic. The second route when we do M&A is looking at channels. We – approximately 60% of our sales is through traditional food grocery channels. And we see lower growth in those channels compared to other channels like out-of-home, online, DIY, tax-free, pharmacies and so on. So we are – when we do acquisitions, we are constantly looking for increasing our exposure in higher growth channels. During this quarter, we bought Easyfood. It's a Danish producer of bakery products for the out-of-home channel and in-store bakeries. And we also bought Kotipizza. It's the #1 pizza brand in Finland and a market leader in out-of-home channel. The third route when we do M&A is geography. We are strong in the Nordics. Approximately 70% of our sales is in the Nordic and Baltic countries. The Nordics are characterized by markets with high purchasing power, stable but low growth. So we are – we will continue to look into new geographies with higher growth than we have in the Nordics like Central Europe, Baltics and India. But, of course, not only – we are also looking for acquisitions where we can add on takeout synergies on acquisitions in the whole markets in the Nordics. And during Q1, we bought Zeelandia Sweden. It's a supplier of margarine, vegetable oils and bakery ingredients to the Swedish bakery industry. Strategically, this is a rite for strengthening Orkla's position in our Nordic whole markets in core categories that we know very well. But another acquisition we did, giving us exposure to higher growth geographies, is the acquisition of Kanakis. Kanakis is market leader in the sale and distribution of confectionery bakery and ice cream ingredients in Greece. Their business model and core categories are well known to our business area, Food Ingredients, and the region is seeing very good growth. So our strength is to build strong local platforms with #1 and #2 brands in smaller markets. That's where we have success. We will continue to use M&A to deliver on this strategy going forward, along the three routes that I mentioned. I'll now give the words to Jens, who will go through our quarterly performance in more detail.
Jens Bjørn Staff: Thank you, Peter. Let's start by looking at the top line growth. Overall, the growth in Branded Consumer Goods ended at 2% in Q1. It was a mix between organic growth of 0.9% and structural growth of 1.6%. And Peter has already taken you through the main levers of the organic growth. When it comes to structural growth, the acquisitions that we've accounted for there is in Care and Food Ingredients. And in Care, it's HSNG that we consolidated in February 2018. So there's one month of impact on the like-for-like numbers. When it comes to OFI, the acquisitions of Werners, Eagles and County Confectionery had all the full effects in the quarter. I'm on the right – there – I was on the wrong slide. Sorry, for that. So organic growth of 0.9% explained by Peter. And then the 1.6% of structural growth is HSNG, one month like-for-like in Care and the acquisitions of Eagles, Werners and County Confectionery, which all had full effects in the Food Ingredients business area. And as you see, we had a minor currency consolidation effects in the quarter. It was negative, primarily due to a weaker Swedish krona versus the Norwegian kroner this quarter. Now let's go to the next slide and look at profit and margin development for the Branded Consumer Goods area including HQ. I'm glad to present a quarter with strong and broad-based like-for-like earnings growth, where it also saw margins picking up. Underlying EBIT growth for Branded Consumer Goods area, including the HQ, improved by 9.3% compared to the previous year. On a rolling 12-month basis, our underlying EBIT margin improved by 40 basis points compared to a somewhat soft 10 basis points looking at 2018. On the underlying EBIT development, we saw some headwinds in 2018, which have turned. In Norway, in Confectionery & Snacks, we had positive effects from customers restocking after the reversal of the sugar tax. We saw good growth in Foods Norway after several slow quarters in 2018. And the turnaround projects that we talked about in U.K. and Health Poland are progressing as planned. And as Peter mentioned, and as we stated on the Capital Markets Day, we will prioritize actions to improve profitability in the short term. And I believe that Q1 shows – is a good illustration of these efforts, where improvements in variable margins and good cost control contribute to earnings and margin growth. Let's look more at the BA specifics, the business areas, and then we always start with the largest one, namely Foods. Orkla Foods delivered organic growth of 1.7% in the quarter. The improvement was supported by good progress in all markets, except Denmark, where we have deliberately exited some lower-margin sales. And I'm glad to see improved sales in Norway. We saw an EBIT growth of 7.5%, mainly driven by increased sales, but also cost improvement programs. Foods continued to experience headwind on FX on currency from a weaker Swedish krona versus euro and increased raw material prices. But these effects were compensated for by price increases. In sum, EBIT margin improved in most markets and with overall progress of 70 basis points. Let's look at Confectionery & Snacks. The Confectionery & Snacks business grew by 3.6%, supported by good growth in Norway, Denmark and Finland. In Norway, the sales increase was helped by restocking following the reversal of the sugar tax, which was implemented in 2018. In Finland and Denmark, sales growth were helped by good market growth, while the confectionery category in the Baltics saw somewhat slower development. Revenue growth and positive effects from ongoing cost improvements drew EBIT up 13% despite a headwind from a weaker Swedish krona towards euro and higher energy prices in this business area. In total, we improved the margin in Confectionery & Snacks by 1.1 percentage points against a somewhat soft first quarter last year. Let's look at Care. As Peter mentioned, Care had a disappointing organic sales decline of 3%, and this was mainly caused by a challenging market development, partly related to channel leakage away from traditional grocery retail in Norway. And these effects, of course, affect the segments in Care with a large presence in Norway. The actions implemented to turn around performance in Poland is on track, and we expect gradual improvements going forward into 2019 and especially the latter part of 2019. Our Orkla House Care increased its sales in the Nordics. But as expected, sales in U.K. continues to decline. However, we see improvements on EBIT in Q1 as we saw in Q4. So we can say that all in all, the turnaround project is moving according to plan. We will also in this business in the U.K. see gradual improvements going further into 2019, and then the majority of the improvement is planned in the latter part of 2019. Lilleborg and Wound Care saw solid organic growth, driven by good market growth. Despite the organic sales decline we saw in this area, the EBIT result was stable, and so was the EBIT margin. Cost improvements and positive portfolio mix was partly offset by dilutive effects from acquisitions. Lastly, let's look at Food Ingredients. Orkla Food Ingredients increased organic sales by 1.3%. This progress was primarily driven by a strong start to the year of the ice cream season, while deliberate actions to exit less profitable contracts had a negative impact on organic sales, but have a positive mix effect on the margins. The EBIT growth that we saw in Food Ingredients of 35% was primarily driven by ice cream ingredients, good start to the year, early start of the season. And as you remember, the season started a little bit later last year in Q2 and Q3 with strong ice cream sales. The price of raw materials and traded goods in this business area was stable. Then Kotipizza. We are pleased to see continued sales growth in Kotipizza. And as you know, the restaurant business is franchise-based, where our sales revenues are based on franchised fees. Looking at chain sales is, however, an interesting indicator of the progress of gross sales from restaurants to the consumers. Chain sales saw the strong growth of 18% on a rolling 12-month basis. During the last 12-month period, 15 new restaurants have been opened, but also – but Kotipizza also saw a strong like-for-like growth of 7%. And this like-for-like growth was primarily driven through increased customer traffic in the restaurants. Improved chain sales have converted, of course, into good net sales. The lagging EBIT that you see on this slide is primarily explained by timing of marketing campaigns, where March last year was unusual because of Easter. And we see this as a purely timing effect and will then even out during the year. And lastly, the concept, Social Burger Joint, has shown very good results, and we will open new restaurants together with franchisees in the coming months. Let's look at Jotun. And Jotun, as Peter mentioned, showed very strong progress this quarter with earnings up 44% from last year. Continued growth, improved gross margins and good cost control were the main levers of this strong earnings growth. And the price increases that was implemented in 2018, of course, have good effects on both top line and bottom line. We saw continued growth in Jotun's largest segment, the Decorative segment but also positive to see good growth in the Protective Coatings segment. It's positive to see that Jotun's Marine business is picking up and is improved in the quarter by new building activity in Korea. And as communicated earlier, going forward, Jotun expects higher activity, both in the Marine business from a very low cyclical starting point and more activity in the offshore segments, mainly with effects in the latter part of 2019. And as you know, Jotun formerly reports its figures from January to April on the 29th of May. Let me sum up my presentation by going through some more of the – into details in our Investment division and other material items affecting the P&L. As already mentioned, we saw strong growth in the Branded Consumer Goods area, strong earnings growth of 10% and then almost at the same level as the like-for-like growth, which was 9%. Earnings from Orkla Investments include Hydro Power and Financial Investments and Kotipizza. And as you remember, Kotipizza was consolidated from the 1st of February. When it comes to Hydro Power, earnings grew by 24%, driven by higher power prices. Financial Investments reported an adjusted EBIT of NOK 22 million compared with minus NOK 5 million in Q1 last year. This increase was driven from sale of development – real estate development property and the inclusion of Kotipizza from February. We had nonrecurring items in the quarter of minus NOK 119 million. And the largest items here include M&A transaction costs, namely Kotipizza, and an accounting effect from the closure of the sale of Chaka, which is a technical thing, where we booked historical currency translation effects on the P&L when closing, and these were negative. And then we had some costs moving into this new HQ building. So that was the main part of the costs booked on that line item. Further details of the major items is explained in the notes in the external report. Profit from associates is almost entirely profit from Jotun, which I said had a very strong quarter. Lower financials this quarter compared to net financials last quarter drove net earnings profit after tax up by almost 100%. Our effective tax rate in Q1 compared to last year is higher, and that is primarily driven to higher resource rental tax because of a higher result in our Hydro Power business. We are starting this quarter to report on adjusted earnings per share, and this represents adjusted earnings per share adjusted for other income and expenses after tax. And we might also adjust for special items on the net financial and tax if necessary, and there were no such items this quarter. There was strong performance in our – sorry, the strong performance in our Branded Consumer Goods business and on Jotun drove an increase in earnings per share adjusted by 21% in Q1, and the reported earnings per share increased by 9%. We have implemented IFRS 16 from the 1st of January, and our Q1 report fully reflects these changes. The overall implications of this implementation is described in Note 1 of our quarterly report. We also provide a split of leasing impact on net interest bearing debt and interest costs, and that is in Note 6 and Note 7 in the same report. In general, the effects of implementing IFRS 16 is relatively minor for Orkla, and the changes are essentially neutral looking after the earnings per share. So with these words, I leave the floor back to Peter.
Peter Arne Ruzicka: Thank you, Jens. Before we go to the Q&A session, I would like to just go through the highlights for the quarter and also show you some of our innovations that we have done in the last quarter. As we have shown, we had a strong underlying EBIT growth of 9% in the Branded Consumer Goods area and a margin improvement, if you look at the rolling 12 months of 40 basis points. We saw broad-based sales improvement both in Foods and in Confectionery & Snacks; however, a disappointing sales decline in Care, but the EBIT level at the same level as last year. We've also seen very solid results and profit improvement in Food Ingredients, and that was helped by an early start of the ice cream ingredient season. And last but not least, very strong improvement in Jotun, very strong and an increase in operating profit of 44% in the quarter. And this led to an adjusted EPS growth of 21% that ended up at NOK 0.85 per share. But as I mentioned, I would like to show you also some of the innovations that I'm really proud of. Innovations is the most important way to drive growth for us. And I talked about the Captain Kombucha already. It's not – really not an innovation that we have done, this is a company we have bought. But Captain Kombucha is a light sparkling fermented drink. It's made from black or green tea. As I mentioned, it contains no preservatives, no artificial sweeteners or artificial flavors. And the drink is, of course, organic. It's vegan. It's gluten-free, and it's growing in popularity due to a lot of health-promoting characters, properties and, of course, very good taste. By investing in the Captain Kombucha brand, we are putting our money on a new and increasingly popular product. The probiotics and organic assets it contains have a positive effect on gut health, which is one of Orkla's priority areas. So you should try it when you go out from the meeting afterwards. Naturli' is – they continue to expand their range. And this quarter, they launched Chick Free. And Chick Free is free from chicken. It's a plant-based alternative to chicken, and it's launched in Denmark and in U.K. These products are based on peas, and they're great for making the favorite family dishes when you want to have some meat-free days. And of course, the package is made of recycled – at least 50% recycled plastic. And the last innovation I will share with you that – and I hope you all saw that outside here, is our new Grandiosa Take Away. And I hope many of you had the chance to have a slice this morning. And actually, that's a good idea to have Grandiosa for breakfast. It's a way to increase consumption. This is great. And we are really proud that we managed to continuously improve our products. And this time, we have made the crust even better. The new Grandiosa Take Away has already received great results in consumer testing. It's actually testing as the best pizza on the market in its categories. And its new design really stands out in the shelves or in the freezers in the stores. You will find it in two variants. One is a national with meat and – meat supreme. And then we have made a cooperative special variant with ham and pepperoni. And if you didn't have the chance to taste it before you came in here, you have a chance to taste it when you go out of the meeting afterwards. You should taste it. It's really, really great. And it's a great product for breakfast, I think. So with that, we will open up for Q&A. Please state your name and your organization and wait for the microphone before stating your question. No questions here? Okay. Thomas, do we have some – any questions from web?
Thomas Ljungqvist: No, there are currently no questions from the web.
Peter Arne Ruzicka: No questions from the web. Okay.
Thomas Ljungqvist: Crystal clear.
Peter Arne Ruzicka: Crystal clear or extremely boring, I don't know. But I think the results are quite exciting, I would say. Okay, then I would like to thank you all for participating here today, and please use this opportunity to taste some of our great products out here. And down in the reception area on the first floor, ground floor, there is a cafeteria where you can buy Orkla products. There is a pop-up store that is changing bi-weekly, I think. And right now, we have Define and Pierre Robert, where you can buy the newest and the best products, and we even have a hairdresser down there. So whenever you need to have a haircut, you can order or book a reservation in Define hairdresser down here. So thank you, everyone, for participating, and enjoy the rest of the day. Thank you.
Q -: